Operator: Thank you for standing by. This is the conference operator. Welcome to the Torex Gold Resources Inc. Third Quarter 2021 Results Conference Call. As a reminder, all participants are in a listen-only mode and the conference is being recorded. After the presentation, there will be an opportunity to ask questions. [Operator Instructions] I would like to turn the conference over to Dan Rollins, Vice President, Corporate Development and Investor Relations. Please go ahead, Mr. Rollins.
Dan Rollins: Thank you, operator, and good morning, everyone. On behalf of the Torex team, welcome to our third quarter 2021 conference call. Before we begin, I wish to inform listeners that a presentation accompanying today's conference call can be accessed through the Investors section of our website at www.torexgold.com. I would also like to note that certain statements to be made today by the management team may contain forward-looking information. As such, please refer to the detailed cautionary notes on page two of today's presentation, as well as those included in the Q3 2021 MD&A. On the call today, we have Jody Kuzenko, President and CEO; as well as Andrew Snowden, CFO. Following the presentation, Jody and Andrew will be available for the question-and-answer period. This conference call is being webcast and will be available for replay on our website. This morning's press release and the accompanying financial statements and MD&A are posted on our website and have been filed to SEDAR. Also, please note that all amounts mentioned in this call are US dollars unless otherwise stated. I'll now turn the call over to Jody.
Jody Kuzenko: Thank you, Dan, and good morning to all on the line. Welcome to the Torex Gold Q3 Results call. While we're solidly into the home stretch to closing out 2021, Q3 came in as planned highlights are as follows. Safety excellence continues. Solid operational performance in the quarter resulted in solid financials. We're on track to deliver full year production and cost guidance, with 111,000 ounces produced in Q3 and a similar level of production anticipated in Q4. And importantly, all aspects of Media Luna are advancing. In terms of the agenda for the call, it's the same as usual. I'll provide a brief reminder of the strategic plan we are working to. Then I'll step you through the key business and operational highlights specific to the third quarter, then over to Andrew Snowden for some detail on the financials. And after that, I'll provide a progress update on Media Luna. As Dan mentioned to the extent that we're making forward-looking statements, we're relying on the safe harbor language on slide 2. Overall, we're advancing on the strategic pillars that we've been working to for some time now. This slide shouldn't look new. They're outlined here with five years of notable progress in the quarter. One, we recently announced our first ever three-year production outlook, which demonstrates reliable production from ELG now through to mid 2024 and we're looking to even further optimize that plan. Two, we continue to advance the Media Luna feasibility study, which remains on track for delivery in Q1 of 2022. And in the quarter, we press released a detailed description of various scope and design decisions that have been made. Three, we're actively drilling on a number of fronts and expect to release results from Phase one of the ELG underground program and the first round of 2021 infill results from the Media Luna program over the coming weeks. Four, we continue to up our game on ESG performance and disclosure and have seen additional improvements in our ratings with Sustainalytics being the latest group to recognize our work. And last, but not least, our cash position has increased by over $140 million over the last four quarters. We're closing this quarter with $220 million of cash on hand and no debt, positioning us exactly where we want to be as we headed to Media Luna development. Turning to slide five. Now, this bar chart on this slide sets out that net cash position over the preceding 12 months and you could see the continued growth there as planned. As anticipated, the back half of the year is seasonally stronger in terms of cash build, owing to the timing of tax, royalty and profit sharing payments in the first half. Along the right-hand side of the slide are some key operational and financial metrics for the quarter and year-to-date. Overall, with 111,000 ounces produced in Q3 and free cash flow of $29 million in the quarter, I would say that ongoing solid operational performance has led to ongoing solid financial performance. On slide 6, you can see here some specifics on how we're tracking against annual guidance. On production, we're sitting at 359,000 ounces at quarter end. We're tracking to the upper-end of the guided production range as we expect Q4 output to be very similar to Q3. Quarter three total cash costs and ASIC are $727 and $900 per ounce respectively. Unit costs are expected to be the highest during quarter four. There are three key drivers of this: one, slightly lower process grades in Q4 than Q3. Cyanide consumption remains high, you can expect it to be in the five kilogram per tonne range and waste mining has resumed full speed post a rockfall incident that I'll address shortly. With all of this considered, we expect to conclude the year in the middle of the guidance range on total cash costs in ASIC. Just to note here, in terms of 2022 guidance for ELG, we plan to release it in January similar to prior years. You will see then production total cash costs ASIC and ELG specific non-sustaining guidance. However, we'll hold off putting out non-sustaining CapEx guidance for Media Luna until the technical report is released at the end of Q1 of 2022. That is when the full picture will become available. Slide 7 contains the usual update on ESG, a few items of note here. We've had no lost-time injuries in the quarter and have now surpassed over 3.75 million hours lost-time injury free. COVID continued to be a significant concern during the quarter with the fourth wave bringing a high-frequency of cases. We are continuing to work with health officials to bolster vaccination rates amongst our employees, our contractors and our community members. As that quarter end, 70% of our workforce has received at least one vaccination dose with more than 30% having received two doses. Importantly, during the quarter, we received an updated rating from Sustainalytics, which has seen our overall score improved by more than 10 points and a milestone our year one public progress report on compliance to the World Gold Council responsible mining principles, is now complete and it's posted to our website and this includes the requirement for third party assurance. Before I step you through additional production and operational details, I want to talk about some commentary on our inaugural three-year production outlook for ELG, and is outlined here on slide 8. Two qualifiers before I go through the numbers. First, it's important to note that the outlook does not include any gold equivalent ounce production from Media Luna in 2024. So we expect the 2024 numbers to increase once we update this guidance following the release of our technical report next year. Second, the outlook represents a look at what I would describe as the new base case. Our team at site has already begun to optimize the mine plans for ELG. The updated mine plan will be released with the technical report early next year. Now in terms of the outlook itself, overall we expect 2022 to look very similar from a production standpoint to 2021. Production in 2023 is expected to dip modestly as production from the WA has open pit end midyear. And then on this case, 2024 goes lower as we deplete the El Limon Pit. Our team, as I said, is already looking at ways to bring incremental production and cash flow into the mine plan in both 2023 and 2024. The goal line here is to squeeze every economic ounce available out of the open pit and we expect ELG underground to continue to be a contributor through the transition year and beyond. Slide 10 sets out some additional detail on production performance, which with one exception can best be described as solid and completely in line. Production of 111,000 ounces was consistent with our expectations as we moved into lower grade areas of the open pit. We expect a similar level of production in Q4. Plant throughput came in at 125,00 tonnes per day with an average processed grade of just under 3.5 grams per tonne. Underground mining rates came in as planned at just over 1200 tonnes per day at a grade of 6.7 grams per ton. The one exception to planned mining in the quarter was in the pit. While ore mine was in line, waste mine during the quarter was lower-than-anticipated for two reasons. RopeCon was down for repair through the mid-August and in July, we took a blast in El Limon near the pit perimeter after a few days of very heavy rain. This caused some rocks to slide down the outer walls of the pit. So we immediately stopped all mining in the upper ventures and have since redefined the blasting perimeter and selectively placed meshing on the outer pit walls. Both of these issues have now been addressed RopeCon and the pit perimeter and we expect waste mining rates in the pit to improve dramatically in Q4. Slide 11 sets out year-to-date unit costs and I would offer a brief commentary as follows: On mining unit costs are up over 2020 as mining rates were lower this year in Q2 and there's been some additional maintenance and rehandling costs with RopeCon being down for repair. Processing costs are elevated relative to 2020 given higher cyanide consumption levels as we encounter greater levels of sulfide mineralization as we're moving deeper into the pits. With the higher level of sulfides expected to persist over the remaining life of the open pit, we are investigating options to reduce both consumption levels and unit costs and you can expect to hear more about this next quarter. PTU is the last comparator line in the chart. You can see there we have lower PTU in 2021. This reflects the legislative changes enacted earlier this year. I'll now turn the call over to Andrew for some detailed comments on the financials and commentary on inflationary pressures that we're experiencing. 
Andrew Snowden: Thank you, Jody and good morning, everyone. Another strong financial results summarized here on slide 13, which has allowed us to deliver on our plan to further strengthen the balance sheet ahead of the Media Luna build ahead of us. As outlined in the top left quadrant, we continue to benefit from solid margins with a TCC margin of 59% and ASIC margin of 49% in the quarter. Looking ahead, on our cost profile and I'll make some comments now both on Q4 and into 2022. On Q4 Jody has already made some comments on what to expect for the balance of 2021. TCC and ASIC will be trending higher in Q4 given expected lower head grades, higher cyanide consumption levels and increased waste mining with El Limon pushback. As we look into 2022, early signs are that we are expecting inflationary pressures of between 5% and 6% to flow into our cost base for next year with pressure particularly on cyanide, electricity and diesel costs. We are currently pulling together our budgets for next year and we'll have that cost guidance out to you in January as usual. Moving to the right quadrant on the top right. EBITDA remained strong in the third quarter with a slight decrease seen over prior quarters mainly reflecting the lower level of gold produced and modestly lower gold prices. Looking now at the bottom left and turning to capital expenditure. This spend has risen over the last few quarters as the level of activity and Media Luna increases. We expect total capital expenditures to increase further in 2022 and peak in 2023 as we maintain current spending levels at ELG, increased waste removal as we execute on the El Limon pushback and also spending on Media Luna will increase materially in 2022 and again in 2023 before declining with first production in early 2024. While free cash flow currently remains positive, we do expect the quarterly free cash flow will begin to decline in 2022 as spending on Media Luna increases. Free cash flow will also be impacted by seasonality of our cash flows with tax royalty and profit sharing payments pressure in cash flows in the first half of the year. Moving now to slide 14. The waterfall chart here shows the key drivers behind our $26 million increase in cash during the quarter. This increase in cash is consistent with expectations with cash generated by operations partly offset by the $58 million of cash capital expenditure primarily related to Media Luna. We also saw tax installments of $20 million in the quarter and that's consistent with my commentary at Q2 where I forecast this would be approximately $7 million a month in the second half of this year. And that's a reasonable expectation to assume for Q4 as well. Finally, we saw a negative working capital change of $12 million in Q3 and that's due primarily to timing of AP settlements. I expect this movement will reverse somewhat through the course of Q4. Turning now to slide 15. The positive free cash flow produced in the quarter continues to improve the tax balance sheet. And as you can see on the slide here we closed the quarter with $220 million of cash on hand and total liquidity now in excess of $370 million. The strength of the balance sheet coupled with a strong forecast cash flow from ELG, means we're in a strong financial position to be able to deliver an advanced Media Luna. Given the potential for Media Luna to become a multi-decade mine, we are analyzing what the optimal capital structure should be for us going forward. And once we have a clear line of sight on our upcoming capital commitments as the feasibility study finalized in Q1 of next year, we will look to see if it makes sense to add a modest level of leverage to the balance sheet to free up some cash to expand our exploration efforts and pursue value enhancing M&A opportunities and/or return some capital to shareholders. And finally just some comments on slide 16. As noted in prior slides and also as discussed on each of our previous earnings calls this year, and the seasonality in cash flows are playing out as expected through 2021. We expect these similar seasonalities to be seen in 2022. So should expect tax royalty and profit sharing payments to be highest in the first half of next year and the lowest in half two 2022. The impact on free cash flow will also be heavily influenced by overall timing and quantum spending on Media Luna. I'll turn the call back over to Jody now just to provide some additional updates on Media Luna.
Jody Kuzenko : Thanks Andrew. And yes, Media Luna is coming into sharper and sharper focus for us. In early October, we released a detailed project update on Media Luna and this was the first of what will be routine updates as the project advances. The next one will be a big one. It will be the release of the updated technical report for the full site in Q1 of next year, which will include a feasibility study on the project. As we set out in the October press release, derisking activities are tracking well, with the feasibility study on schedule, permitting on schedule and engineering on schedule. And critically, we've made a key addition to the team as we're transitioning to execution. Dave Stefanuto, who has overseen many complex development projects from study to handover has been brought on to lead the Media Luna project team for us. Dave joined us in September after having spent more than 20 years working with Inco and Vale in both Sudbury and the Voisey's Bay. Slide 18 sets out some important detail on the progress of early works. Channel development is underway with the Guajes Tunnel accessing the deposit from the North and the two additional portals providing access from the South. At the Guajes Tunnel advanced rates to date have been slower than planned, as we've been trialing various methods of advance using monorail equipment, rubber tired equipment and a hybrid approach. It's important to note here that performance is improving. In October, the team achieved 190 meters of total development versus 170 meters of total development through September both months marking a material improvement over months prior. As at the end of October, we were at meter 725 coming from North to South. As announced in Q2, we have also started tunneling from the South side of the river via South portal lower. Once at the bottom of the deposit, development teams will split up with one team continuing to drive the tunnel from South to North, while the other team starts to develop the lower portions of the deposit. Concurrently, teams will commence development of the upper and middle portions of the ore body via South portal upper, and you can see it there in the section on the top left. On the South side, we took the first blast at South portal lower at the end of September as planned. Overall, we believe this approach from three directions will allow us to achieve initial ore production from Media Luna in early 2024, followed by a multi-quarter ramp-up period to steady state mining rates. And this last slide essentially is a summary of the Media Luna progress update, we released in early October. Of note, the PEA was done more than three years ago now and scope has evolved as one might expect. Some of the more significant of those changes is highlighted on this slide. I've already spoken about tunneling and access to the deposit. In terms of detail around the mine itself, as we deepened our understanding of the deposit with tighter drill spacing going from 100 to 30-meter centers, and wrapped the conventional mine plan around it we have settled into a target average mining rate of 7,500 tonnes per day, as opposed to 8,500 tonnes per day set out in the PEA. We've decided to size the plant downstream of the grinding circuit at 11,000 tonnes a day. And the mineralization of the Media Luna ore body is such that, it is high iron mainly in sulfides, and high copper pyrite. This means, we need to add two float circuits. This was in the PEA, but it also means that we need to put cleaned water to the float tanks. So the scope has been modified to include a 400 cubic meter per hour water treatment plant. All of this to say that, you can expect the capital and the feasibility to study to be increased over that which was shown in the PEA, and we look forward to sharing all of the details with you on this in less than two quarters. There's no doubt that our future at Morelos brings with it a period of significant investment, but with 2021 coming to an excellent close a robust three-year production outlook now in hand solid progress on the future build, and importantly, a team with a track record of executing on plan. We are confident about the way that future is coming together. I'll now turn the call back over to Teresa.
Operator: Thank you. We will now begin the question-and-answer session. [Operator Instructions] The first question comes from Don DeMarco with National Bank Financial. Please go ahead.
Don DeMarco: Hi. Good morning, everybody, and congratulations on a quarter. Just looking ahead to the feasibility study, you outlined – Jody, you outlined various scope changes since the PEA. Should we expect any more scope changes in the FS, or is the FS primarily for the purpose of conveying the CapEx and mine plan details and production – year-by-year production and so on?
Jody Kuzenko: You can expect a few additional scope changes Don, as we're finalizing decisions around the backfill system, and the conveyance system through the tunnels. And then as you said, the primary focus will be to route CapEx and OpEx around, what we've ultimately landed on.
Don DeMarco: Okay. We look forward to that. And I heard Andrew say that, the – there are some inflationary pressures on cyanide electricity and diesel. Will those expectations for inflationary pressures also be baked into the cost in the FS?
Jody Kuzenko: They will. They will. We're going out to market now for quotes. We'll expect to see some inflationary pressures as we get those quotes back over December and January. And what we're seeing then will be baked into those costs in the feasibility study. We're in a good position here on those costs, because we'll be able to use actuals for a good portion of it.
Don DeMarco: Okay. Okay. That's great. That's all for me. Thanks so much.
Jody Kuzenko: Thanks for the question, Don.
Operator: [Operator Instructions] The next question comes from Trevor Turnbull with Scotiabank. Please go ahead.
Trevor Turnbull: Hi. Thank you. I just wondered, if you could give us a little more color and break down a bit, kind of the grades that went into the plant in the quarter. I can see that the average gold mine was like 2.75 grams. But I wasn't clear, if when you blended in some stockpiled material, if what was coming kind of from the underground and from the open pit if it was 2.75 or if it was something a bit different than that. And the reason I was asking is you had referenced that grades potentially are a bit lower in the fourth quarter. And I'm wondering are you referencing lower than say the average grade of that 3.48 or that average open pit grade of 2.75.
Jody Kuzenko: Yeah, a little bit of both Trevor. And so you're quite right that the mine grade all in was 2.75. Head grade was right around 3.5. And that's really what we expect to be lower in Q4, as we're optimizing our blend and we're mining in areas of the open pit that is slightly lower in grade through the back half of the year. So pit grade in Q3 was 2.43. You can expect it to be slightly lower. Head grade in Q3 was right around 3.5% and you can expect that to be slightly lower as well. That's a function of open pit mining and the process we're using for blend.
Trevor Turnbull: Okay. And just -- I guess, while we're on it to round it out the grades have been a little bit lower coming out of the underground. Is that kind of as expected, or do those come back up around seven going forward?
Jody Kuzenko: Yeah. They were Trevor, 6.68 of the underground. The quarter prior was seven. Next quarter we expect them to be very much in that range. And there's nothing unusual going on there. Sub-Sill and ELD are a bit lazy. And so you get patches of grade coming in, but we don't expect any material drop-off in Q4 in the underground.
Trevor Turnbull: Okay. Great. Appreciate the color. Thank you.
Jody Kuzenko: Thank you for the question.
Operator: As there appear to be no more questions, this does conclude today's conference call. You may disconnect your lines. Thank you for participating. And have a pleasant day.